Operator: Welcome to Post Holdings Third Quarter 2020 Earnings Conference Call and Webcast. Hosting the call today from Post are Rob Vitale, President and Chief Executive Officer; and Jeff Zadoks, Chief Financial Officer. Today's call is being recorded and will be available for replay beginning at 12:00 p.m. Eastern Time. The dial-in number is 800-585-8367 and the passcode is 9687370. [Operator Instructions] It is now my pleasure to turn the floor over to Jennifer Meyer of Post Holdings for introductions. You may begin.
Jennifer Meyer: Good morning and thank you for joining us today for Post's Third Quarter Fiscal 2020 Earnings Call. With me today are Rob Vitale, our President and CEO; and Jeff Zadoks, our CFO. Rob and Jeff will begin with prepared remarks and afterwards, we'll have a brief question-and-answer session. The press release that supports these remarks is posted on our Web site in both the Investor Relations and the SEC Filings sections at postholdings.com. In addition, the release is available on the SECs Web site. Before we continue, I would like to remind you that this call will contain forward-looking statements which are subject to risks and uncertainties that should be carefully considered by investors as actual results could differ materially from these statements. These forward-looking statements are current as of the date of this call and management undertakes no obligation to update these statements. As a reminder, this call is being recorded and an audio replay will be available on our Web site. And finally, this call will discuss certain non-GAAP measures. For a reconciliation of these non-GAAP measures to the nearest GAAP measure, see our press release issued yesterday and posted on our Web site. With that, I will turn the call over to Rob.
Rob Vitale: Good morning. Thanks, Jennifer and thank you all for joining us. The business executed well this quarter in a challenging environment. Our center store, the refrigerator retail business has had terrific results. Our food service business suffered rapid demand destruction with gradual rebuild. BellRing work through a trade inventory reduction and recovering demand curve through it all, our supply chain performed well and our business functioned at high level. It is most appropriate that we are recognizing ongoing dedication of our employees especially in supply chain who make this happen. Our retail channel business is a Post consumer brand, Weetabix and refrigerated retail performed exceptionally well this quarter. In contrast to Q2 during which surge demand was pulled forward onto pre-established promotions. Q3 was slightly promoted. As a result, we saw attractive profit conversion in each business. This profit level was despite incremental costs around employee safety and incentive compensation at each manufacturing location. Our retail channel business has benefited from the increased demand for in home food consumption. We expect this to continue to a lesser degree through the balance of the fiscal year and into next. Our challenge this quarter was to flex our supply chain to meet this demand. To do so, limited assortment enabling higher manufacturing line productivity and increased output. This was most pronounced in Post consumer brands, which because of its value portfolio, managers have a relatively larger number of SKUs. We are now close to essentially a normal level of manufacturing and are reestablishing our merchandising program. As you all know, the ready to eat cereal category has struggled in recent years. We anticipate that the experience of the last several months will have a positive intermediate to long-term benefit on the trajectory of the category. Above that is Weetabix and Crystal Farms brands each performed exceptionally well. Again, the financial results are despite incremental costs and safety and incentives. Bob Evans brand grew consumption dollars 29% as we gained new households and continued our high repeat rates. In the U.K., Weetabix grew in both sales and share as consumers turn to this well known brand during the lockdown. In both cases and generally across the business, we expect this consumer trial experience to have lingering benefit. The BellRing call will provide more detail, but I will hit two themes about their business. First, last quarter we previewed a trade inventory drawdown in a back loaded second half. This is developing as anticipated, with very strong July shipments confirming the thesis. Second, RTD on-the-go consumption took longer than we expected to return to pre-COVID growth but it has done so. Despite the on-the-go headwinds, premier shake grew consumption 11%. The change in our expectation of the demand curve caused us to call down revenue. But we reaffirmed the EBITDA guidance for the year. We have no concerns about the long-term trajectory of the business, but we missed the magnitude of some near-term COVID implications on consumption recovery. Like our branded retail channel businesses Eighth Avenue performance is benefiting from the COVID-related demand increases. Earlier this year, we made a small acquisition and the integration is well on track. We remain optimistic about the consolidation opportunities ahead. Our near term challenge remains foodservice. We saw volume recovery in line with expectations and the business was profitable in June. We expect the fourth quarter to continue to June performance, but we certainly have the potential for pandemic-related headline risk or benefits. Last quarter, I described our affected channels, quick service restaurants are coming back reasonably well, full service a bit behind, education is a mixed bag across the country but certainly will not be fully reopened, travel and lodging continues to be weak all largely as expected. Demand in this segment is directly tied to consumer mobility. Therefore, region-by-region, government and consumer responses to the severity of the pandemic shaped the recovery. We do not expect to revisit the quarter lows. Our channels have learned so much more about how to operate during the pandemic. But because it is a challenge to predict the near term shape of the recovery, we have taken a cautious outlook. Longer term, we remain highly confident in the strength of this business. Separately, the correlation between mobility and demand further gives us confidence in our decision to avoid structural cost reduction in favor of supporting the rebuild. While each of our business has executed quite well, I want to particularly commend our food service team. They're magnificently navigating the most extraordinary business climate of our careers. In terms of the fourth quarter, we expect foodservice to materially improve over Q3, but not approach normal and retail channel businesses to perform well, but not at the volume level of the third quarter absent the second wave of surge buying. For BellRing, we anticipate delivery of the results implied in its guidance. On balance, we expect Q4 to be similar in the aggregate to the third quarter, with potentially significant changes in segment composition. Our liquidity remains quite high. You may recall it as a cautionary measure we threw down $500 million on our $750 million revolver in March. We have repaid the full balance of the drawdown and now had approximately 870 million in cash on hand. With respect to capital allocation you can see that we resume share repurchases. We were cautious so that we were assessing potential requirements for liquidity, if one or more of our supply chains became interrupted. Throughout the quarter, we operated with growing confidence in our ability to maintain continuity of supply. As our confidence has grown, so has our desire to be more offensive with our capital. We tempered that inclination with discipline and will not force an opportunity merely to act. It's hard to neatly wrap this quarter up into a singular description, but the best I come up with is resilience. In some ways, this quarter revealed the strength of the construction of our portfolio. The businesses naturally hedged each other. Our results in our expectations give us further confidence in how we manage leverage and liquidity and the delivery of long-term risk appropriate returns. We are admittedly taking a cautious outlook as is our nature and we will continue to do so. But this too is true that while this is a challenging year, it is a year that I continue to be most proud of the business. With that I will turn it over to Jeff.
Jeff Zadoks: Thanks, Rob, and good morning everyone. Adjusted EBITDA for the third quarter was $270.9 million. Consolidated net sales of $1.3 billion declined 7.1% year-over-year. Each of our businesses was significantly impacted by consumer and customer behaviors and reaction to the COVID-19 pandemic. I will discuss those impacts as we go through the performance of each of our segments. Starting with post consumer brands, net sales and volumes grew 11.4% and 7.5%, respectively, benefiting from increased at home consumption and private label distribution gains. Significantly reduced promotional activity and favorable mix resulting from a temporary reduction in assortment together drove a 3.4% improvement in average net pricing. Gross profit margins meaningfully improved over both the prior year and the second quarter. This outcome resulted from the aforementioned net pricing improvement, manufacturing efficiencies from streamlining assortment, better fixed cost leverage on increased production volume and $6 million in cost savings from implementing our new integrated business planning process. These improvements were only partially offset by increased compensation for manufacturing employees, cost for health screening and personal protective equipment and increased product donations. The growth of net sales volumes and gross profit drove a 35% increase in segment adjusted EBITDA compared to the prior year. Weetabix net sales increased 3.1% over the prior year. This reflects a 4.1% and a 2.6% improvement in volume and average net pricing respectively. Volume growth benefited from increased at home consumption, particularly for cereal biscuits, which was partially offset by declines and on-the-go breakfast drink and bar products. Favorable mix and reduced promotional activity drove improved average net pricing. A weaker British Pound to U.S. dollar exchange rate caused an approximate 400 basis point headwind to the net sales and adjusted EBITDA growth rates. Overall, Weetabix segment adjusted EBITDA increased 14.6%. Our food service business was significantly impacted this quarter with net sales and volumes declining 41.3% and 41.8% respectively. These declines reflect lower away from home demand in reaction to COVID-19, particularly within the full service restaurant, quick service restaurant, education and travel and lodging channel. As government stay at home orders lifted and consumer mobility increased, the rate of item declines improved throughout the quarter. We expect our food service volume recovery to highly correlate to the degree restrictions are imposed on mobility and gathering and coincide with the progress achieved in containing the spread of the virus, improved therapeutics and ultimately an effective vaccine. We continue to anticipate a full recovery will likely take through fiscal 2021. Adjusted EBITDA declined to a loss of $10 million, primarily resulting from the loss contribution margin on reduced volumes, and unfavorable fixed costs absorption was significantly reduced production volumes. Also weighing on food service results were cause for temporary line and plant shutdowns, higher inventory obsolescence for short dated inventory, considerable levels of low margin food ingredient, egg sales to move excess inventory, increased product donations and higher costs for health screenings, personal protective equipment and compensation for manufacturing workers. Moving to refrigerated retail, net sales in volumes increased 20.9% and 5.1% respectively. Net pricing improved across all products because of reduced promotional activity and favorable mix. In addition, side dish net pricing improved as a result of targeted price increases indicated early in calendar 2020. Cheese, sausage and side dish products all had strong volume growth, while egg product volumes declined. Growth in sales and volumes along with improved price cost relationships in sausage and cheese lead to a nearly 65% year-over-year improvement in refrigerated retail segment adjusted EBITDA. BellRing net sales decreased 14.1%, while adjusted EBITDA decreased 37.8%. Premier protein sales declined 11.9%, as RTD shake shipments lags strong consumption growth of 11%. Dymatize and PowerBar net sales declined significantly driven by specialty retail store closures and changes in consumer behavior including reduced on-the-go consumption. You can hear further detail about BellRing's results on their conference call later this morning. Turning to cash flow we had a very strong quarter generating $319 million from operations including $32 million from BellRing. Reduced working capital across our portfolio was a key contributor. Inventories were driven down by COVID dynamics we have discussed and collections have remained solid in line with terms. As a reminder, we report leverage statistics for Post independent of BellRing net debt and adjusted EBITDA. Post pro forma net leverage on this basis was approximately 5.2x as of June 30, down slightly from the prior quarter. Turning to share repurchases, although intentionally more cautious in the early stages of COVID, since April 1, we have purchased approximately 550,000 shares at an average price of $87.57 per share. In addition, yesterday, we announced new board authorization for up to $400 million in share repurchases. This replaces our prior remaining open authorization. In closing, we have significant liquidity and remain confident in our ability to continue to generate attractive cash flow during this pandemic, which combined provides us flexibility and successfully navigate this environment and still maintain optionality for strategic alternatives. With that, I'll turn the call back over to the operator for question.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of David Palmer of Evercore ISI.
David Palmer: Question on cereal. I appreciate your comments about it. The category perhaps getting some better footing coming out of COVID. Wondering about your comments around market share, in July, it looks like Post has lost some share to the big two? And I'm wondering if you're foreseeing things getting tougher from a competitive standpoint, given the fact that those two competitors are talking about marketing and reinvestment in the third quarter? And I have a quick follow up.
Rob Vitale: No. I don't necessarily see it getting more challenging going forward in fact that is more of a leveling. From March to May, we essentially track the category. In June and July, as you point out, we've seen some share softness, there's really three reasons. First, we over index to mass and food has recently gained share vis-à-vis the mass of some of -- some channel shifting, which we don't see as being a particularly persistent trend. Second and third are related to the comments I made about limited assortment and supply chain optimization. So we pulled back our assortment in order to drive productivity which pulled down some of our flanker brands to a point where we kept facing, but lost some of the traditional placements of some of the flavor variants. And then, in order to shape demand, we of course, pulled back merchandising unlike some of the other competitors, we kept that merchandising off really until August. So August is the first month in which we have full assortment and full merchandising engaged. So I think it's nearly a timing shift.
David Palmer: And thank you for that that's helpful. With regard to food service, for those of us that are tracking, Starbucks and Dunkin' trends, I know you have more than just some of the big chains in breakfast, but it feels like some of the decline rate is becoming more stable. We're going to have that tapering off as the morning day part kind of rebuilds. But in other words, perhaps you should be less surprised by what you get from that business over the next year. How are you thinking about the profit deleverage going forward? Obviously, you're going to have less decline rate. But you also have less surprise, can you moderate your costs in a way that we should see? Less deleverage per volume point of decline? Thanks.
Rob Vitale: Well, absolutely less than the blended average of the quarter. And what I called out on my comments was that we were looking to forecast the last part of the quarter where we had worked through some of the initial, I use the word shock of that demand period when it was down, in the three quarters level or so. And I think you're quite right that we see pretty decent predictability out of the QSR segment as I commented, the visibility gets less clear as you get into the full service and other channels that we also serve. But we feel very good about how the QSR channel seems to be shaping up.
Operator: Your next question comes from the line of Andrew Lazar of Barclays.
Andrew Lazar: I guess first off, Rob, thinking about fiscal 4Q, we kind of have a sense now of the sort of the BellRing sort of guidance piece of it. You mentioned food service was back to profitability in June. And hopefully that some of the less severe deleverage moving forward. So I guess, in thinking about your fourth quarter guidance, it sort of implies if I'm not mistaken, a lot of slowing in the retail businesses. And I'm just trying to get a sense of maybe what's driving that. There's something discrete there. Perhaps maybe there's some conservatism just in all of us not knowing how quickly or not elevated consumption levels kind of slow, depending on second wave and all those sorts of things. Just trying to get a sense for what this means for the retail side really specifically PCB in the 4Q, because it seems like that would suggest a pretty significant slowing. And then, I just got a follow up.
Rob Vitale: Yes. And to be fair, I think it's an acceleration from last year, but a sequential slowdown, because the third quarter contains a fairly significant portion of the surge buying that leftover in April. So the only difference between the quarters is an assumption that the truly elevated level in the early stages of the crisis will not repeat. It will certainly be elevated vis-à-vis pre-COVID levels. So I'm not in any way suggesting a slowdown of the business vis-à-vis prior years or anything other than the fact that we had surge buying in Q3 that may not be repeated.
Andrew Lazar: Got it. And profitability, obviously, we need to think about that in terms of reinstating some of the merchandising and stuff that you talked about versus let's say fiscal 3Q.
Rob Vitale: Correct. That's an equally big point is that the volume and the reestablishing promotions.
Andrew Lazar: Got it. Okay. And then, it's interesting, Rob, if we think out a little bit, a bunch of staples companies reporting in the last few weeks, have touched on like the potential for crisis management during the pandemic to really maybe have lasting positive P&L implications. A number of companies have talked about it. I think, the CEO of one of the largest Coke bottlers yesterday said, there'll be no return to the pre-pandemic cost structure. And I know it's probably a bit early to be overly focused on this as you're just kind of keeping operations going and whatnot. But if we think post-crisis, do you think there's an element of this that could maybe benefit Post in a more meaningful way longer term and so sort of what buckets maybe of cost could be impacted? Thank you.
Rob Vitale: Well, I certainly think the way you think about organizing workflow and productivity is going to be effective. We have now been remarkably effective in a distributed work model for five and a half months or whatever it is. I have really three concerns. One is how do you maintain culture? Two is, how do you onboard people effectively? And three, how do you develop young talent? But if we can solve for those problems, I think it starts to upend the way we think about organizing work and people. And as important as anything else that starts to relieve the geographic constraints of attracting talent. So instead of thinking about our talent pool as those who are willing to relocate to whatever is the appropriate metropolitan area, we recruit from the country or the world and we managed differently and I think that's a fairly profound change in the way we think about talent development. So that's a big one. I think the way we think about manufacturing and the relationship between manufacturing and non-manufacturing is one that is constantly going to be reevaluated because of how essential we realized that function is when we actually put definition to the term, essential worker. And there will be -- I think, a series of profound implications that come out of it. I frankly, think beyond some themes, it's premature to start talking about what that does to margins and what it does to cost because I'm sure we're not through the learnings on this experience. But I would certainly not argue that there will be some profound learnings coming from it.
Operator: Your next question comes from the line of Chris Growe of Stifel.
Chris Growe: I had a question for you, first on, I'm sorry if I missed this if you have said, have you quantified the total COVID costs in the quarter. And I was just curious if you think about that in relation to the fourth quarter, are they more burdensome because of less fixed cost leverage as you will you have more costs weighing down on consumer brands, for example, in Weetabix, others?
Rob Vitale: We did not quantify it. And we have not publicly disclosed that.
Jeff Zadoks: As you might imagine, it's hard to pinpoint what's COVID what's not, especially when you talk about the benefits of leveraging or the negatives of deleveraging. But, the approximate amount of what we could that you put a fence around and say that was COVID-specific incremental costs, like incentives to manufacturing workers or the personal protective equipment, those sorts of things, was an order of magnitude of about $15 million on the quarter. How much of that is going to continue? I don't think it will be at that level because then that number was some of our inventory donations and things of that -- which won't be at the same level. But maybe half that amount might be an ongoing cost until we get back to more normal.
Rob Vitale: But I would also tell you that as I just commented with Andrew, we learned through this process, so the cost that we incurred in Q4 were crisis costs. So we weren't in a position to bid out providers, we weren't in a position to study the cost of action, we simply needed that. So that's a very high cost way to operate. As this experience dragged on and we start to learn how to operate better and the experience, we will drive that cost down.
Chris Growe: Okay. Thank you. And then just one other question would be -- and it shows a difference by business, but just as a general question, you're under shipping demand in many cases. So I'm curious, if there's sort of an inventory rebuild that's either happening or has happened yet or may happen? And then, just understand what condition your production capacity is. And as we exited the quarter, can you meet demand in your businesses today?
Rob Vitale: Yes. So I think the one you're probably most talking about is the refrigerated retail. And I think that there might be a little confusion in that, the Bob Evans growth rate was very high, but some of the other brands in the portfolio dragged that down. So the actual Bob Evans, consumption to replenishment was much closer to the consumption growth rate, much more close to one-to-one replenishment. So that might be a piece of what you're picking up. Going through each of the answers though, the reason that we held back on promotion in PCB was precisely to be able to answer yes to that question. We want to be able to make sure that our supply chain is operating at a best-in-class level and network. We have customer fill rates where they need to be and they are. So we feel very good about that. Same is true in Weetabix. Same is true in our integrated supply chain with Bob Evans or refrigerated retail and Michael Foods with the nuance that of course, that's deleveraged on the food side and pushing full leverage on the retail side. I think the big question that we have is, will this be a normal holiday season with respect to more holiday oriented products or we'll have the in-home consumption change shape of that demand curve as we approach the holiday season.
Chris Growe: And so just one follow on that, Rob, thank you for that. Would be just inventories at retail are those rebuilding or have they rebuilt yet as far as you could tell?
Rob Vitale: Cereals are rebuilding now as I mentioned, August is the first month with full assortment. So by the end of August, this should be fully rebuilt and the others were largely in balance. And I'm excluding BellRing from that -- [indiscernible] inventory adjustment that we can talk about in greater detail on their call.
Operator: Your next question comes more the line of Jason English of Goldman Sachs.
Jason English: Sorry for the delay there. Two questions. First, high order strategic optionality, the turmoil in the food service vertical, curious if it's [indiscernible] any potentially strategically compelling assets that you could potentially target?
Rob Vitale: Yes, is the answer. I think there's some interesting opportunities in food service, but not at the crisis level that you would have expected. I think because of some of the government activities. There has been more liquidity to provide support for some companies that otherwise might be in more dire straits, but I think there is some attractive to value that we are obviously taking a look at as we survey that landscape.
Jason English: And then on core business, like many I was surprised at how robust the profit was from your retail business. I miss some of your prepared comments. But one thing I picked up on consumer brands, I think you mentioned you had about a 3.4% contribution to sales growth related to subdue trade activity and reduced assortment. I think that translates into around $16 million of benefit. Is a) did I capture that right? b) is it fully gone by the time we get to the first quarter of 21? Because it sounds like you're sort of suggested in August [indiscernible] back full emerge, full on assortment my interpretation is that is fully that benefits fully dissipated by then. And is there any other quantum across the other segments something similar you can give us to help us size the potentially transitory benefits that may have hit Weetabix and may have hit the refrigerator retail side.
Rob Vitale: I think your sizing of PCB is roughly in line. And I think your comment about the timing, lapping into the fourth quarter with some continued margin benefit is also true. In terms of Weetabix, the magnitude is much smaller, because we didn't see the same level of volume surge. We saw the same level of volume surge in March, but it didn't continue into the quarter at the same level as it did in the U.S. So there was much more stability in terms of its supply chain continuity and its ability to maintain more promotional strategies there that were not supply chain driven. So we don't see the same impact in Weetabix. And in Bob Evans, there really wasn't any of the same issues because they don't have the same degree of assortment variability as Post consumer brands does in its manufacturing lines.
Operator: Your next question comes more the line of Michael Lavery of Piper Sandler.
Michael Lavery: Two quick one on refrigerated retail. Just wondering if you could give us a sense within the price mix list. How much it is stickier list pricing versus mix or promo reductions that it can reverse in the fourth quarter? And then the second, you called out on your comments here, they're a little bit of a hit on eggs from deli closures and lower away from home demand. Can you just give us a sense of how to think about how that looks in the fourth quarter and if there's a watch out in terms of how to think about the volume moment there?
Rob Vitale: So to the first question, the vast majority of the price thing is list pricing. Jeff called out that it was taken pre-COVID towards the middle of our first fiscal quarter. In terms of the deli business, as you can imagine that's largely driven by retailers demand to manage foot traffic. So it's highly sensitive to what's going on in the local markets. And I mean, specifically with respect to the COVID outbreaks. So we expect that recovery curve to follow some of the other institutional channels, but it's highly dependent on the character of the local community.
Michael Lavery: And you'd mentioned on the list price increase being earlier in the year as we look at your fiscal second quarter, would it have been early in that quarter and that's a decent sort of proxy for the run rate or was it sort of mid-quarter obviously, it's stepped up quite a bit in the third.
Rob Vitale: Yes. You're going to stretch my memory. I'm going to say that the effective date was around December 1.
Operator: Your next question comes from the line of Rob Dickerson of Jefferies.
Rob Dickerson: Two questions. I guess, first, Rob, I know we'll go into a lot more detail around BellRing on the BellRing call, but it's not obviously given kind of where the stock is open and the pressure and the concern that everybody's kind of thinking about on the business overall, and maybe just give kind of a quick 30 second discussion, before that call on the inventory piece and kind of maybe what you saw in July to get to the market confident.
Rob Vitale: Yes. I think that, it turns out that we were more opaque than we thought we were and trying to communicate that there was a substantial inventory load as we exited the second quarter. And that there was some promotional timing that would push back some volume into the fourth quarter. We specifically did call out in our guidance that the second half plan was back loaded but clearly not precisely enough. So we went into the quarter and you're going to hear more details around what we expect to be roughly 45 to 55 minutes. And that is largely shaping up intact, as evidenced by exceptionally strong July that you'll hear more about. So we are not at all surprised by the cadence of the quarter. Where we made a judgment error was the assumption that the on-the-go consumption that had been reduced by COVID would come back faster than it did. It has now come back, but we were off by roughly a month, there's been some -- a little bit more deterioration in international markets than we expected in the aggregate of those two issues, the on-the-go consumption decline and the international put some pressure on our revenue assumptions for the balance of the year. We were in very good position from an EBITDA perspective. So we're able to protect our EBITDA, I think that point is getting a little bit lost that we are likely to hit an EBITDA number from October in a period of time in which the world change pretty darn dramatically. So I actually feel very confident on BellRing's long-term trajectory and recognize it. We did a less than ideal job of communicating the cadence and frankly, missed an assumption on recovery rate on the consumption piece but, that will prove out in time. 
Rob Dickerson: Okay. Fair enough. And then, just quickly in terms of cap allocation and the buyback, it looks like you -- you have bought some stock back at around $88. Right now, your stock $91, $92. So just maybe just kind of quick commentary color on appetite to further increase that activity or ongoing activity. And then, also potentially just kind of general perspective feel from you plus just valuation of your business, given kind of what you've gone through over the past few months. That's it. Thanks so much.
Rob Vitale: Yes. I hate to do this, but I'm mostly going to dodge that question. I don't like to be the judge evaluation of our stock, or at least to speak about it. We'd rather just let action speak on that one. And I think that you can infer from the action we took were share buyback authorizations that we continue to have some appetite for it. But I don't want to go into how we actually see value.
Operator: Our next question comes from the line of Ken Zaslow of Bank of Montreal.
Ken Zaslow: Just a couple of questions. One thing is, last quarter you kind of discussed the cash flow and how that nothing changed. Can you update us on your view on the cash flow, your initiatives on working capital, as well as, again, how you think it's going to play out? Again, I think last quarter, you said that there was no real change to cash flow relative to your initial outlook.
Rob Vitale: Yes. I think you need to put a little bit more fine point on it but there was a modest change in the aggregate that the composition was different because of what you just mentioned. It's less EBITDA from food service, more working capital recovery, which will then translate into working capital investment in the future as we have the EBITDA recovery. So yes, we were able to maintain cash flow, we actually had an extraordinary cash flow quarter. But a portion of that was working capital recovery.
Ken Zaslow: So there's no change, though in how you're thinking about is going forward.
Rob Vitale: Not at all.
Ken Zaslow: Okay. Then, the second question I have, what you said was intermediate and long-term benefit on the retail business and then last quarter, you said, look, we think that the food service will be back in 2020 -- will be back to 2019 levels by 2022. So if I put it all together, do you think your structural long-term growth rate is actually enhanced over time given the situation and not to say that you want to capitalize on a pandemic but is that the fair implication of that and how I can kind of frame that or more of a longer term investor perspective.
Rob Vitale: Yes. I think that's exactly the right question that investors should be asking. And I'm going to give an answer that is intentionally somewhat vague. We have seen experience that has driven extraordinary levels of trial on essentially all of our retail business. And our intuition is that that will have some lingering benefit that that is not going to go from a massive trial to zero stickiness and back to where we were pre -COVID so there will be some benefit to that. Putting a number to that I think is a bit premature. On the other side of the business, I think the most likely outcome is that the business materially reverts to norm or 2022. But the puts and takes are that there will be some percentage of the population that chooses to work from home. And when you lose that person departing from home in the morning and going to work, there will be some transactions that get lost along the way. Now what will happen? Will it shift to a still a mid morning breakfast day part? Or will it be lost? We don't know. But we are planning to adapt to a modestly different mix of people working from home than working in office. So there's puts and takes that we have to work through and I think what we don't want to do is over commit to a trend until we really understand that it is a trend and we're trying to be as adaptable as we can. So we can pivot very rapidly as these things clarify themselves. Hopefully, that's helpful. I recognize vague but vague is where we are.
Operator: We have reached the allotted time for questions and answers. That does conclude the Post Holdings Third Quarter 2020 Earnings Conference Call and Webcast. You may now disconnect your lines and have a wonderful day.
Rob Vitale: Thank you all.